Nils Andersen: So good morning and welcome to this annual result call for AP Moeller Maersk. My name is Nils Andersen and I'm the CEO. And I'm here with Trond Westlie, our CFO and a bunch of other people ready to answer questions once I've done the presentation. So if we just start with the overall statement while you read the statement on the forward-looking or all the precautions you have to pay - take on our forward-looking statements on page 2, just giving you the general - our opinion about the results. We're very, very pleased that we present the highest result in the company's history with $5.2 billion. We did make a number of impairments and value corrections during the last quarter, so some of you may have expected a slightly higher figure on this, but we're very pleased with it. It's a very good result. The underlying result of the company with $4.5 billion is also very good. It's in-line with our expectations and represents an improvement of 33% compared to last year. We continued our efforts to focus the conglomerate on shipping and oil-related activities, with the sale of Danske Bank and handing back the income from the sale of - total sale price as dividend to the shareholders. So we believe we meet a wish from the shareholders, the minority shareholders, to get a more focused business. And we think we delivered that. We also want to signal that we're of course taking action on the cost side of the - as a consequence of the drop in the oil price. So we're running cost programs and CapEx reductions and also exploration cost reductions in the oil and oil-related businesses. But we're on a way forward in the oil business. We just approved the build-out plan for the Johan Sverdrup find in Norway, committing $1.8 billion. And we're also expecting to commit to the build-up of the Culzean gas field in the UK North Sea during the first part of this year. So we're, even if the oil price gives us of course challenges, in those industries we're still on the way forward. So having said that, let's go into the figures. And if we start on page 3, the strategic highlights. As I just said, we have taken a number of portfolio optimization steps during the year, divesting the 20% ownership in Danske Bank and handing out the proceeds as dividends to our shareholders. And we divested at the beginning of the year Dansk Supermarked with a little bit remaining, 19% had been kept, in order to enable the transaction. And they will be divested by 2019. Maersk Line improved its competitive position and the startup of the 2M vessel sharing agreement has gone well. It started by January 1. We grew our production in Maersk Oil in-line with plan. We did commence the operations in Maasvlakte II in APM Terminals and divested the Port of Virginia as part of the ongoing portfolio review in Terminals. Maersk Drilling did execute. We got five and the last of the six rigs were delivered at the beginning of 2015. So we're through this major upgrade program on plan and very happy with that. And in APM Shipping Services, we divested the VLCC segment, so we've over the last years reduced our exposure to the tanker business in general. And we carried out a review of all businesses, resulting in a number of impairments and write-downs that you'll see that have affected the fourth quarter result of the year. But let's go through the financial - purely financial highlights on 2014 on page 4. The Group result was up from $3.8 billion to $5.2 billion. There was a number of movements, Danske Bank gains, other gains on other sales as well and as well as a number of impairments, the largest being the second-quarter impairment in Brazil of our oil business there. But the underlying profits came out with $4.5 billion, up from $3.4 billion, so it's a 33% increase in the result, which we're very pleased with. The free cash flow went down a bit as investment went up. You could say the cash flow from operation was unchanged compared to last year. And if we go down in the underlying profits by activity, then of course here you see very good progress in Maersk Line, a 50% growth in result, so we can only be pleased with that. And also the fact that we continued to maintain our very strong lead compared to the average of the industry for a number of quarters now. And we delivered actually double-digit returns for the fourth quarter in a row. So things are moving very well in Maersk Line and the fourth quarter result, we'll come to that in a minute, was surely helped also by the falling oil price. Maersk Oil, in spite of the dramatic drop at the end of the year, came out with a result only slightly below the last-year result. Underlying, of course, the headline number is affected very strongly by the write-down in Brazil and there's been a few other impairments during the fourth quarter that I'll come to in a minute. APM Terminals, underlying result up with $150 million or $140 million, continue a good trend in business. So we're pleased with that. Maersk Drilling down a little bit compared to last year, only $50 million, which is actually better than we expected. And we have, I think, guided very clearly to this decline since we knew that there was a number of very large rigs days as well as a very large sum cost related to the phasing in of new rigs. So all in all, this is a very pleasing result. And you will also see in our guidance that we guide for drilling to go up next year. APM Shipping Services, still not delivering great results but there is progress compared to last year, mainly because of progress in the tanker business. So let's move to page 4, which are the news developments, quarter-four developments. And here you'll see that the headline profit is down quite a bit compared to last year due to $836 million one-offs after tax that are specified on the right side. It's an impairment of Maersk Oil in UK assets, around $200 million. These are producing assets where we have had to adapt the value because we know that in the short term and these assets are not long term assets, we could get less money for the oil we sell. Then we have impaired in APM Terminals in our investment in Global Ports by $100 million, not dramatic, but that's just a calculation outcome of a slower-than-expected business in Russia. Maersk Drilling impairment in EDC and the - our oldest rig up in the fleet, in total it's a little more than $70 million. And this is basically reflecting the fact that we believe that older rigs are losing value now, where we expect a lower activity level in the oil industry in general. Fortunately, overall, Maersk Drilling has a very modern fleet. But these are some of the oldest assets that we decided to impair. And then we made a large goodwill impairment in Australia of $360 million. And the reason - the background for that is a lot of cost pressures from very active, very expensive unions, as well as also increasing competition in the ports. So we've decided to take that impairment. Danske Bank, as you'll recall, also made an impairment in the fourth quarter. And we had impairment that we would - that reversed as a consequence of that and the net effect for us is $120 million negative in the impact on the books. But if we take - exclude all these one-offs, we're - the profit in the fourth quarter is up significantly from $610 million to $1.025 billion and that is mainly driven by Maersk Line, but a very good progress. The free cash flow was also good. Of course, free cash flow in the quarter is not so significant, but the outcome is good. Underlying profit by activity in the fourth quarter, Maersk Line up very, very strongly, helped by good growth, but first and foremost a decline in cost helped, to a large extent, I'll come back to that in a minute, by a decline in the bunker price. Maersk Oil down $150 million, and this is in spite of higher production exclusively and effect of the oil price. APM Terminals up underlying. So was Maersk Drilling now, where we have the most of the new rigs in operations. And APM Shipping Services was up as well, but still negative in fourth quarter for a number of reasons. The big other news of the day is of course the divestment of the 20% ownership, I'm now on page 6, in Danske Bank, where we'll dividend the entire proceeds out to shareholders as cash. It's a bit complicated the whole distribution scheme. But all the shareholders will have the choice between getting a cash dividend and, at the same time, buying shares with the cash or --but up to nine shares per Maersk share - up to nine Danske Bank shares per Maersk share. And the mechanism is described here. I'll not go into all the details. The pricing of the shares is going to be decided during - on the average share price during the week from March 20 to 26. That will be the fixing point and that will also fix the size of the dividend. So it's a little bit complicated, but the net effect is that the shareholders receive the whole proceeds from Danske Bank as a dividend. Going to Maersk Line results, of course we're very, very satisfied with those results. This is - the fourth quarter is very, very strong, more than double the Q4 2013 result. And, as I said before, cost has helped a lot but also good development in volumes. ROIC improved to 13% last year it was 6.2%. And that marked the fourth consecutive quarter reaching our mid-term ROIC ambition of 8.5%. And for the year as a whole we will be above our target - long term target of 10%. Volume increased by 9.8%, mainly driven by good growth in North-South and Intra trades. Our East-West trades were stable in the fourth quarter. We continued to reduce the unit costs. They went down by $197 million per FFE, a minus of 7.2% and that more than absorbed the average rate decrease of $81 or 3%. So very good dynamic here. The fleet capacity decreased by 12%, which is a little bit ahead of our volumes and also ahead of the market. Quite an important part of that was that we got three - we got a little faster delivery of the Triple-Es in the fourth quarter and we also went to the time charter market to get vessels for the start of the SeaLand activities for Latin America or the Americas. Good free cash flow generation, $872 million, the EBIT gap was significantly above the 5% target we have set and was on the level that we now had for a number of quarters. And as I said before, a good upstart to the 2M activities and we also, in our guidance, named this as something we expect will give a positive effect for the full-year result from Maersk Line. Page 8, we have a description more in depth of the cost reductions in Maersk Line. We had a 1.9% cost increase totally, but against a volume increase of 9.8%. Considering that terminal cost and vessel cost, of course, to a large extent are variable. This means that the underlying cost picture continued to develop very positively, partly due to the reduction in bunker or mainly due to the reduction in bunker cost, of which a big part came from the price. The price went down 11%. But we also continue to use - reduce consumption. So no change really in that picture, but we reach now the lowest cost level per FFE transported for the last many, many years, so very positive. I think just to make that clear to everybody, there has been a lot of speculation in speeding up of the networks. We do calculations on this of course also. Our conclusion is that it does not make any sense to speed up the network. We don't expect to do it and you can say the additional capacity that will be added in will probably be less than people expect because with larger ships, also the port stays get longer. So that's a very significant part of the increase in the travel time. So we don't see a lot of potential in speeding up and it's not something that we plan to do. Maersk Oil's result underlying good, of course not so good in the fourth quarter, with a decrease by 50% to $150 million. But this is caused by the low oil price, which of course we have limited impact on. It was partly offset by more production and also a decline in exploration cost. And we also started reducing cost already in the fourth quarter last year and will continue on that trend. We had an impairment charge related to the UK. I explained that before, $188 million and this is producing fields. So this is basically just reflecting the immediate lowering of the oil price. Production increased in the fourth quarter to 275,000 barrels per day. This was expected and of course was stronger than expected, even because of the low oil price which does impact our take in Qatar. We had less exploration cost, that's good news. The bad news is that we also did not find any oil in the last quarter. But we had good progress on the Culzean, Johan Sverdrup projects, as I said before. We have commissioned one and we expect to commission the second in the first half of this year. The Chissonga project is still challenged by the low oil price and we're still considering how this can be done. We're still working on it, but on the - with the present oil prices it is very challenged. We'll keep you updated but we don't have any news on this and we also don't have any urgency to get to a decision here as we have the other two projects where breakeven costs are clearly below the present oil prices. Golden Eagle and Jack came on stream as planned in the fourth quarter. And then on page 10, just a few statements on what we're trying to do to mitigate and that is in Maersk Oil to mitigate the impact of the lower oil price. And we do expect to reduce the OpEx cost in Maersk Oil by a double-digit percentage. We expect by 2016 to reach a 20% reduction in this area. We're also looking at the production portfolio. And of course we're also negotiating terms, both on ongoing OpEx but also, of course, under the CapEx in terms of CapEx cost and so on so we get the best possible deals and the most possible reduction of cash flow out as a result of the drop in the oil price. Exploration and development, we will continue to cut back on exploration and clearly be very careful on what we spend money on. And we, as we already did say before, we're scaling back our U.S. Gulf of Mexico exploration and we have decided not to explore further in Brazil. Going to APM Terminals result on page 11, not a lot new to say. The headline number is down mainly due to the impairment in Russia, but the underlying result is up from $171 million to $221 million. So the good progress in Maersk - in APM Terminals continues and the underlying ROIC again improved so it is up now at 15%. So very good, we're satisfied with this. Operating cash flow decreased by 39% in the quarter. This is due to increased tax payments and also working capital, so there's still some room to improve and they're working on that. Invested capital declined due to divestments and impairments, but we continue with a high level of investment in APM Terminals and we also continue to be quite bullish on opportunities in this exciting area and Maasvlakte II, the most modern terminal in our network. It commenced operations in Q4 as planned. Maersk Drilling, we've been - I've alluded a little bit to this already. There is a profit decrease in the fourth quarter by 37%. This is only due to impairment. The underlying profit is up with approximately $45 million to be exact because of the fact that we now have more rigs in operation. So hopefully a good start or good ending to the year that should give us good hopes for 2015. We have good forward coverage of 80% for 2015, so that result - it doesn't mean that we don't have work to do to close contracts, but the coverage is good both for 2015 and also for 2016. The delivery of the fourth drillship took place at the beginning of 2015 and we still don't have a contract for this and the third drillship. We're working on it and hope we can come with solutions in the near future, but they are not on long term contracts at the moment. The two remaining jack-ups, one was delivered at the beginning of the year to Statoil against a long term contract and we have one more coming in 2016. And they will - that is also against a long term contract. So we're quite confident that we're on a good track here. Of course, also Maersk Drilling has initiated a cost review and we'll take a number of measures, some of which have been published already, in order to reduce its cost base. APM Shipping Services result is down. It was up on the year and - but negative for the fourth quarter. Mainly a result of impairments in Svitzer and Damco, but also the activities of the underlying activities in Damco continue to struggle in the fourth quarter and we're now waiting for the cost reductions to take effect in 2015. And that brings me to the end of my first part and over to Trond, who will take you on through the figures again.
Trond Westlie: Thank you, Nils and good morning, ladies and gentlemen. I'll start on page 14 of the presentation on the performance. And as you can see, we're delivering a return in 2014 of 11% of an investment capital of just short of $50 billion. That is of course affected by some impairments as well as some gains. And the net effect of the one-offs is just short of $600 million. So it's not really tremendous effective, although it has an effect on the net numbers. All-in-all, we see good progress in Maersk Line this year, delivering 13% in the fourth quarter and also 11.6% for the year, which is of course ahead of our - both our long term as well as our medium term guidance and also ambition for Maersk Line. So we're doing very well there. The effect on Maersk Oil is, of course, the impairments. The underlying return is still okay, but the impairment is affecting the returns in the year as well as in the fourth quarter. Terminals and drilling delivering - well, terminals delivering very well during this phase and drilling delivering slightly lower than last year due to the startup and - sorry, the startups and of course the yard stays. Under shipping services, Damco and Svitzer is delivering high negative numbers. Both of them are affected by write-downs and impairments. And so the underlying delivery from Svitzer is slightly declining from last year, but still remains on a positive. But Damco is of course the challenging part in the shipping services industry. So all in all, a good year. Slow fourth quarter as a result of impairments. But underlying, a very good progress as we see it. Going then to page 15 on the strong financial framework, starting on the upper left, we started the year with a net interest-bearing debt of $11.6 billion and we're ending up at $7.7 billion. A lot of that is of course the effect of some of our divestments, but it's also a good underlying cash conversion in the business. So when we see the total cash conversion from the EBITDA through the effect of the working capital, we're doing well throughout the year. So all in all, $7.7 billion in net interest-bearing debt is not, as we see it, a high number for a business like us. Going then to the top right, the portfolio management, you see the proceeds and the divestment gains coming in from - in 2014. We see a total of proceeds and the number is high due to the fact, of course, the major contributor in that is Danske Supermarked. And the other, the big contributor is - or the two big contributors is the VLCCs in the tanker segment and Virginia Terminal that APMT sold off last half of 2014. So that's the three main contributors in that. Looking down to the left, on the investment in growth, we see that the gross CapEx this year is getting close to the $9 billion. So slightly lower than we had expected, but that is mostly due to the fact that the last drillship were actually postponed delivery over to first quarter 2015. That made the changes during November and December. The operating cash flow this year were in the same level as last year, as Nils had mentioned, on $8.8 billion. The Board are proposing an ordinary dividend of DKK300, an increase of 7% from last year, from DKK280 a share. So an increase relative to also the supported - as we have said, supported by the underlying revenue growth. But of course, as we have also said on the extraordinary dividend that will be proposed as a result of the sale of the Danske Bank shares, we will of course have a very high dividend yield this year. Going then to the number page, starting on the fourth quarter numbers, revenue slightly declining from short of $12 billion down to $11.7 billion mostly driven by the decline in - actually in Maersk Oil and also Maersk Tanker as a result of going out of the VLCCs and the increase is coming from mostly Maersk Line. That means that we're delivering an EBITDA in-line with last year on $2.6 billion. Depreciation increases quite a bit. Most of that increase is impairments. Approximately $900 million is the increase of impairments year-over-year and new assets is depreciation increase of approximately $120 million. That leaves an EBIT number of $459 million due to the fact of the impairments. Finance cost coming down to $79 million and tax coming down as a result of lower results in the tax - in the oil - basically Maersk Oil that's driving this decrease in taxes. So the profit for the period for fourth quarter is $189 million. Going then just to give the overview of the full-year 2014 numbers, delivering basically a small increase in revenue base, very much driven by a decrease in oil and tank and an increase in approximately $1.2 billion in the revenue in Maersk Line. So good growth in Maersk Line revenue, that leaves us almost 5% higher EBITDA from last year, with $11.9 billion as a result. The depreciation is increasing from last year, but that is only due to impairments. The underlying depreciation is on the same level as in 2013. When it comes to gain on the sale of current assets, it's very much driven by the $600 million. The big contributor in that number is Virginia, which had been disposed earlier and then there are bits and pieces of other divestments that have come into this net gain of $600 million, that leaves an earnings before interest and tax on $5.9 billion. Finance cost of $606 million, down from the $716 million, very much driven from underling interest costs but also some interest activation because we have had quite a bit of assets coming in this year. Tax coming down from $3.2 billion to $2.9 billion leaving a profit for the period of continuing operations of $2.339 billion, profit for the period, discontinuing operations, that is basically - that is, well, literally only Danske Supermarked with $2.8 billion and that leaves us a profit for the period of $5.2 billion. Just for your information, in our annual report this year that we disclosed this morning, we have our table guiding you from the underlying result to the reported result, not only for the Group but also for the business unit, where you basically can say and see the effects for each one, so you can basically have a clear view of the development. I'm not going to focus too much on the cash flows. I mentioned that earlier, but as you can see on the bottom of the pages, dividend per share ordinary, DKK300 per share. And the estimated number as of now on the extraordinary dividend per share is 1,569 which is then dependent on both the share price of the Danske Bank shares as well as the exchange rate between Danske kroner and dollars. Of course - well, sorry, not the exchange rate of dollars because it's going to be in kroner. So it's literally just because on the exchange rate on Danske Bank shares. And then going to the guidance for 2015, we expect an underlying result slightly below $4 billion which is comparable to $4.1 billion and both of those numbers are excluding Danske Bank. Just to give you the numbers, our underlying number for 2014, we report $4.532 billion. Of that, Danske Bank is included with $449 million and that leaves basically the rounded number of $4.1 billion from 2014 and we're saying slightly below $4 billion for guidance of 2015. Gross cash flow for capital expenditure we expect to be around $9 billion. Going to Maersk Line, we expect a higher underlying result for 2014. We aim to improve our competitiveness through continuous improved unit-cost reductions and also the implementation of the new 2M alliance. The global demand for transportation in 2015, we expect it to increase with between 3% and 5%. And we have our direction, as we have previously stated, that Maersk Line aims to grow with the market. Coming to Maersk Oil, we expect a significantly lower underlying results for 2015 than for 2014 as a breakeven is reached with an oil price in the range of $55 to $60. We expect an entitlement production to be around 265,000 barrels a day and exploration expenses are expected to be around $700 million. Terminals, we expect the underlying result to be around the same level as 2014 and to grow in-line with the market. For Maersk Drilling we expect a higher underlying result than 2014, due to more rigs in operation, good forward contract coverage, as well as cost-reduction and efficiency program that has started. APM shipping services, we expect the underlying result to be above 2014. And the usual sensitivity guidance, we have given you some of our major sensitivities below on this guidance line. I'm not going to say too much about it but, just referring to that, we have the average oil price in 2014 was $99, and we have said that plus/minus $10 a barrel for Maersk Oil isolated will be effect of $0.25 billion. So that will really guide you relative to the understanding of Maersk Oil results. So with that I'll give the word over to Nils for the final remarks.
Nils Andersen: Okay. So thank you Trond and I'll basically just close before we go to questions. We're, as I said at the opening, we're very pleased with the financial delivery of the year. It's not been an easy year in shipping and definitely very challenging, especially the latter part in the oil industry. So delivering a 33% increase in underlying profit we consider very satisfactory. It's a result of a lot of focus on operations over the last years and we're going to focus - continue to focus on what we've been doing so far. That means improve the competitiveness of the businesses, making sure we grow when it's profitable and in a healthy way. We'll also continue portfolio optimization. Not only can I promise you that it will not be as much as in 2014, but I can promise you that - that we will also continue to look at things within the different businesses. And then continue to try to be as focused and disciplined and professional as we can, on the capital allocation. We have pretty strong processes in place and we do take a lot of care of our shareholders' money when we decide to invest them in the long term assets that we operate. So there will be nothing new under the sun in that sense, there'll be a lot of focus on implementation in 2015 and I appreciate that the yearly accounts for 2014 will be giving a lot of grey hairs when people try to understand them; there are a lot of moving parts, but this should be somewhat simpler as we move forward. I think that's a strong signal, dividend out the entire proceeds of Danske Bank and we also increase the normal dividend. We did last year buy back shares, so that's another signal that we intend to share - to share the benefits of our progress with our shareholders. We're in the last phases of the share buyback for 2014 that we published in August and we will of course continue, together with our Supervisory Board, to look at our capital structure going forward. And I think we'll all be very pleased to see a better - have a simpler and better overview when we close the first quarter this year. So thank you for listening and we're ready for questions.
Operator: [Operator Instructions]. Our first question is coming from Mr. Dan Togo Jensen from Handelsbanken. Please go ahead, sir.
Dan Togo Jensen: A few questions from me, first on oil. How do you view the oil business now? Is it time to invest or time to contract, so to say? Nils, I remember you saying previously in 2014 your long term view on your oil price was around $90. Has that changed in any way and how does - so in essence, if your long term view is unchanged, is it time to invest and where would it make sense for you to invest more?
Nils Andersen: Starting with the forecast for the oil price, I think we've all got - we did foresee a drop, we did not foresee the size of the drop. And of course that has made us a little bit uncertain of our forecasting long term. But we think $90 is probably the upper range - upper end of the range. We're looking at something between $80 and $90 as normalized oil price going forward, but that's what we use in our calculations and I would really not pretend that we're the most informed people about this in the world. So then coming to is it a time to invest or a time to contract; I think it really depends on what you have in the pipeline. What we have in the pipeline is investments in the North Sea; Johan Sverdrup and Culzean and they are both profitable at present oil prices. So there the answer is very simple that we will expand those. And then of course you have - we have the Chissonga project where we have to think really, really careful. We have to work very hard to see whether we can get the project cost down to a level where the breakeven will be. It has - it cannot be above or in the - even above the middle of the range I just indicated to you. We need to have an expectation to make money, but I think that should be - the healthy statement should come. We're in a different situation that most oil companies being a conglomerate, so we're not in a cash-flow squeeze on any kind of problems that forces us to think short term because the oil price has dropped. So you will probably find us a little bit more willing to look at investment opportunities than many other in the industries. And the areas we will look at will be low-cost production and it will be the North Sea and areas in the Middle East that we know well. But we will see what come out of opportunities and, of course, it requires the sellers to bring down their oil expectation to a reasonable level as well, so that we can make reasonable deals. We're in no hurry, but we do have the cash when the right opportunity comes up.
Dan Togo Jensen: And then just one question on Qatar, entitlement went down in Q4 to 116,000 barrels per day due to the PSA. Is this the run rate we should look at going into 2015, if oil price stays where it is now?
Nils Andersen: I cannot comment that; it depends a little bit on what we call the r-factor which specifies when we come to certain points in paying down investment costs, so then we can change. But with the - I would assume that it would be not far from, in the present oil environment.
Dan Togo Jensen: Just one, final question on Maersk Line, the lower bunker cost and the dynamics with rates, how much of the lower bunker cost should we expect being translated into lower rates during 2015?
Nils Andersen: Well, the rates are - we've seen a decline in the fourth quarter of approximately 3%. I think it's realistic to assume that there will be a decline also during the year, but it is of course a question of demand and supply. And at the moment we don't have a lot of idle ships, so maybe the situation will be that we can actually reduce rates less than the oil-price drop. That would be our assumption, at least. So we do expect a positive impact in the first period from the lower bunker price.
Operator: Next question is coming from Christopher Combe from JPMorgan. Please go ahead.
Christopher Combe: A couple of questions here also. Looking at CapEx guidance, can you tell us how much of that relates to oil and gas specifically and how much maybe earmarked for opportunistic acquisitions? And then also, if we look at Terminals, your highest-returns business, how much additional capital could be deployed over the next 12 to 18 month period? And on Maersk Line, after a couple of months of 2M progress, can you give us some sense of how that's progressing; are you more bullish or conservative regarding savings? And then lastly you talked about other areas, looking in the portfolio. Is there any conceivable - day rate within the product tanker market where you would consider partial or full disposal? Thank you.
Nils Andersen: So let me start with the 2M. It's too early of course to declare victory, but so far the customers have received the new network very well and we have not had any running-in problems. So we don't expect any negative development from that. We've also included that as a positive in our guidance, so that looks good. And then the investment allocation over the businesses, actually we've guided for a number of years that we would invest between $3 billion and $5 billion in the oil business per year. We've so far never reached that level, which should comfort everybody - but probably an investment slightly below $3 billion in that business. And then we've said that we'll invest approximately $3 billion per year over the next 5 years in Maersk Line, in ships and containers and similar things and that's probably the best possible guideline I can give you now. In APM Terminals, it's going to be a mix of course of investment and divestments, but we will be able to, we believe, deploy quite a bit of capital in port infrastructure over the coming years, so do expect that their share of invested capital to increase. In the oil services, we still have of course some payments that will go out and they will impact us, but we're not planning really any new investments, unless something that is really niche and where we have a special technology, then it may be relevant. But in the present environment we're not planning major investments in oil services. So that's sort of a very quick tour de force of that. And then you asked about the potential disposal of the tanker business. And we've said that we wanted to focus the business on product tankers and that's what we've been doing. We don't have any plans to do anything dramatic on that business right now and, if we had, I couldn't probably disclose it here.
Operator: Next question is from Neil Glynn from Credit Suisse. Please go ahead.
Neil Glynn: If I could ask a couple, please, the first one with respect to Maersk Oil? You've obviously highlighted you're targeting double-digit percentage cut on the OpEx level. Nils, could you give us a bit of insight in terms of how that should save and how you think about key milestones to make sure you are on track to achieve that by 2016? And then the second question, on Maersk Line, I'm not sure whether it's just timing but obviously the time charter growth meant that utilization seemed to have fallen in the fourth quarter. Do you expect utilization to improve in 2015 and is that a key focus as you think to retain fuel-price benefits in 2015?
Nils Andersen: I'm not sure I understood your Maersk Line question very well, so let me start with Maersk Oil and the phasing. We expect a 20% reduction in OpEx by 2016 and of course, it will take time to implement it and, for simplicity, we're saying we'll get to probably almost half during 2015. But don't forget that we have some pretty large projects that we're bringing through the funnel now and preparing for Culzean; there's still a lot of analysis work being done on Chissonga. So we're on the way forward in our thinking in Maersk Oil and that means that we actually quite a lot of things to do, but if you pencil in a little bit less than 10% OpEx reduction in 2015 and 20% in 2016, I think you are probably pretty close. And then the utilization rate in Maersk Line, yes we have taken in. First of all we grew on plant. It wasn't really something we were aiming for a little faster than the market in the fourth quarter and the fleet grew even faster. There is a lot of moving parts in that, but we don't really expect to have a lot of deployment problems in 2015. But we have been running a very tight ship for the last years and probably a little bit too tight. So taking in some extra charter tonnage for the [inaudible] startup was absolutely necessary. And then we got the extra - or the faster delivery of Triple-Es at the end of the year. So nothing dramatic, it's just - when you look at it in the quarter it looks like there is a little bit more movement than there probably actually is.
Operator: Next question is coming from Lars Heindorff from SEB. Please go ahead.
Lars Heindorff: A couple of questions from my part as well. Regarding the oil production guidance that you have, does that take into account any closures, which may be related to the aim of reducing the OpEx by 20%.
Nils Andersen: It actually does not, because we - it will take time to make closures; you need to get approvals for it and so on. So it's quite a complicated thing. There is one area where we're still producing; are still involved with Polvo, which we - in Brazil - which we expected to - where we expected to stop production or sell our shares and - but that has not materialized. But apart from that we - it does take time to close down production, so you won't see a lot of moving - or effect this year from those things.
Lars Heindorff: Okay, but can you give us maybe an indication of - the size of potential closures a bit further down the road?
Nils Andersen: I can't give you anything now and I don't think it's really serious, because part of it - will just be that we invest less in certain mature fields, because there are certain new developments that that become unattractive. So I would rather not try to speculate in it, but we have of course platforms like Janice that are quite old in the UK, North Sea and other things that we'll look at.
Lars Heindorff: And then still staying in the oil and gas business, you made another impairment in the fourth quarter regarding some of the UK fields, as you mentioned earlier. I haven't been able to look through the entire Annual Report yet, excuse me, but how much less do you have on the balance sheet in terms of concession rights and what's the risk associated with that?
Nils Andersen: I have actually read through the entire Annual Report, but I can't remember that figure. In the UK it's - I would rather that we came back to you on that, because - before I tell you something - but there is of course a significant invested capital in the UK. But the concession rights will be less than they used to be, so this is not only, I would assume, concession right. I would assume it's also actually assets that we're impairing.
Lars Heindorff: Okay. And then regarding the liner business, you've answering a few questions about that early on. The guidance of higher earnings in 2015 versus 2014 - I'm sure you are going to achieve a lot of savings on the bunker side obviously. But you also mentioned [inaudible] that quite a large element of pass-through on the rates side. If you assume that's going to be close to 100% - the basics behind, which will drive earnings high in a market which is still structurally oversupplied?
Nils Andersen: First of all - our earnings - if you really analyze it, our earnings are very closely related and almost similar to the margin advantage we have over the remaining industry. That has been the picture of the last years. So when we make a return on sales of - when our advantage is 9%, then we've been able to get also a 9% return on sales, as profit, more or less; maybe 10%. So that's the way the dynamic has worked so far. In general the industry will make a big effort to keep part of the bunker saving and I think they will be successful, simply because the market is actually at the moment not very oversupplied. There is incoming tonnage, but the overall supply situation is not too bad at the moment and there is not a lot of idle ships.
Operator: Our next question is coming from Stig Frederiksen from Nordea Markets. Please go ahead.
Stig Frederiksen: A couple of questions from my side, first of all your guidance, when it comes to growth of 3% to 5% in Maersk Line and you are expecting to grow in-line with the market, I'm just wondering about Sea-Land; how does that play in? Is that part of what's growing with the market? And a second question, on oil, your sensitivity - that includes the OpEx costs that you are referring to? And finally, just on gas, any timing issues, liabilities - anything that will force you to take a decision with the authorities? Thank you.
Nils Andersen: So yes the answer to your first question, Sea-Land is yes, that's included in our growing with the market strategy. The sensitivity in - of 266 is not including cost reductions. This is a mechanical or rather mechanistic calculation on what happens, everything else being equal, when the oil price drops or increases, assuming a certain pass-through of course in Maersk Line. And then the last question, I didn't get.
Stig Frederiksen: That was more referring to Chissonga. It was a year ago that you were expecting to sanctionize Chissonga. Now we have reached 2015 are there any timing issues or any obligations that you have to take a decision in connection with the authorities?
Nils Andersen: There are timelines in the contract, of course, but of course the Angolan authorities also understand very well and they are actually partners in the project - understand very well that you cannot sanction a project until you are relatively certain that you make - that you are going to make a profit on it. So we don't have different interests there. I think they are very pleased with the work we're doing and they are doing it with us. So I'm sure we'll be able to get beyond that and anyway we will not take a wrong decision and start of a project that we're not confident is a good investment because of a deadline.
Operator: Our next question is coming from Matthew O'Keeffe from Berenberg. Please go ahead.
Matthew O'Keeffe: Just three questions from me, two operational, one financial. First of all, just to clarify on the bunker guidance, is there a particular proportion of the savings that you assume would be passed on to your end customers, when you give that guidance as to the impact of lower bunker - sorry, I'm aware you've been asked this question a number of different ways, but I wonder if there is any rule of thumb you can give us to help us as we think about that. Second question, on the oil business and I think in the past you've said $600 million which is your - minimum exploration spend to keep your reserves ticking over and obviously you are talking now about spending $700 million after the oil price has halved. It seems to be that's quite a strong statement. So my question there is perhaps why you haven't cut the exploration spend more aggressively. And then finally, on the financial side of things, you've talked about the benefits from a yield perspective of the special dividend. I'm not entirely sure investors will see it that way, I suspect they may more likely regard the $5.5 billion as a windfall. So my question here is why you didn't consider re-cycling the Danske stake via higher underlying dividend or perhaps even via the share buyback program. $5.5 billion is a nice problem to have, but perhaps you could just give us - how you see the different options of returning cash to shareholders. Those are my three questions, please.
Nils Andersen: Right. Okay, on the bunker guidance, there is a percentage that we assume as a pass-through. I cannot exactly remember, but I'm sure it's written somewhere. So we haven't written it anywhere, but as far as I recall it's - 50% - 60% pass-through, I'm not quite sure about that. And on the oil, the $600 million is correct. That's what we stated based on the - actually I think an older production figure, but the $700 million is above. It takes time to ramp down exploration, even if we wanted to. And also as I said before, we're looking forward here and in the exploration figure there is also production preparation and near-field exploration that will give us growth opportunities in the short term. And then the question to the dividend, the answer is that we felt this was a fair and good way to do it. We don't need the cash on our balance sheet. It was a long-expressed view for - wish from the investors to get the Danske Bank stake sold and the dividend allocated out and this is what we've done. And we could have chosen a lot of other ways but, if we wanted to share buybacks without impacting the share price dramatically, this would have taken years to re-cycle; we can't re-cycle $6 billion within a year, without impacting the share price significantly. And on top of that we see this as a large one off and you can say windfall, but we will of course continue to pay good underlying dividends, normal dividends. And we'll also continue to look at the balance sheet to see whether there's room for - or it makes sense to do further share buybacks or other distributions. I hope that's okay. I mean I appreciate that it could have been done in many other ways, but this was what we decided upon.
Operator: Next question is coming from Christoph Sandner from MainFirst Bank. Please go ahead.
Christoph Sandner: Two questions on the oil segment. If you would decide to again, Chissonga, any large project, how would you communicate this timing-wise? Would you give an ad-hoc message or just include it into the quarterly reporting that you decide against it? And with respect to Chissonga, what could we expect as impairment if you would decide against?
Nils Andersen: If we decided to stop Chissonga, so to speak, there would be an impairment charge of some hundred millions, U.S. dollars of course, non-cash, from activated or from exploration and production preparation costs that we have put on our asset list. But it's not as much as you would see with other oil companies. We actually cost most of our exploration drilling as we go. And in terms of how we communicate, if we decide to go forward or stop it, it would probably be an ad-hoc information. If we feel we have something important to inform our shareholders of, then we don't communicate - or we don't wait until the quarterly.
Operator: Our next question is from Casper Blom from ABG Sundal Collier. Please go ahead.
Casper Blom: Just a couple of questions left from my side, please. Firstly, Nils you said that you don't view slow steaming as a possibility for you guys, but how do you view the risk of some of your competitors and maybe some of the smaller ones starting to do that and thereby effectively releasing capacity into the global fleet?
Nils Andersen: We have done that analysis and of course you can never exclude that people act in a way that's not good for their profitability. But we don't believe that it would be an advantage for anybody, also if they would be the only ones to do it. So we don't see it.
Casper Blom: Okay, and then on second question, relating to drilling. As you say, you have a fairly good coverage looking into 2015, but then it looks a little more uncertain for 2016. Could you give us an update on the whole environment at the moment? Is it at all possible to get new employment and at what rate compared to a year ago is that possible - is that all? Thank you.
Nils Andersen: Yes, we don't view it as impossible to get contracts at all. There is still quite a bit of activity going on, so we're not pessimistic on that. And again don't forget that we have a very modern fleet and what usually happens during the industry downturns is that it's the older, less-effective rigs that are taken out, stacked or scrapped. So we feel well-prepared and will we have more idle rigs that we would have wished for - probably. But we're not seeing this as dramatic and we feel confident that we will continue to do contracts. In terms of rates for the big floaters, probably rates are down 25%, to the tune of that.
Operator: Our last question is coming from Nicolay Dyvik from DNB. Please go ahead.
Unidentified Analyst: This [inaudible] filling in for Nicolay, first question relates to the bunker adjustment factor. So back in - or coming into 2012 you effectively changed your BAF to the cheapest one in the industry, whereas now in the start of 2014 you are changing it again. So we were wondering whether this is then an attempt to not pass on as much from the lower bunker prices or is it only a lightening effect that we should expect from this?
Nils Andersen: Well that is only relevant within a contract period. So for instance now, when we close contracts, it's based on the present bunker prices. So a potential BAF adjustment going forward would impact from this basis. And actually in the last years, if you look at the trend, the oil price has been increasing and the rates have been falling. So we've seen that over a longer period you cannot make that assumption. It is just to regulate within a given contract period.
Unidentified Analyst: Okay. A couple of questions regarding your unit costs. In 2014 you were the most reliable liner globally in terms of schedule reliability. Your partner on the 2M is not - is actually below the global average. Could this have adverse effect on your ability to further take down unit costs?
Nils Andersen: We will continue to work very hard to be the most reliable carrier and having a partner is maybe - maybe gives us some additional work, but we will continue our efforts in that direction.
Unidentified Analyst: So no threats from having a less-reliable partner?
Nils Andersen: We will work, as I said, to secure the best possible service.
Unidentified Analyst: And the last one, you published your unit costs on the bunker side on page 8 in the presentation now. Could you give us some flavor to what extent this reduction of close to 50% you have seen is due to increased average petrol prices and how much is due to speed reduction?
Nils Andersen: I cannot give you that figure, it depends on completely which period you look over and there are many moving parts in that. Speed reduction, if you are looking for effects of increasing the speed, it's very, very significant.
Nicolay Dyvik: Okay. It's Nicolay from DNB asking one question. Could you - in the associates and JVs, under terminals, it seems like consensus at least on valuation is multiplying the EBITDA and taking the market capital global ports. Could you [inaudible] the net profit from associates and JVs seems to be a relatively large part, apart from global ports. Could you give a bit of detail of the quota and - on the numbers on the JVs and associates on the terminal division going forward?
Nils Andersen: When it comes to the details relative to the joint ventures and how we - the net and gross elements of that - we have a schedule in the appendices that actually drives you through from the joint ventures relative to the gross up. So you will find slightly more information there. And if you need any more details on that, Nikolay, you can call the IR. So that was the last question. So I would like to thank you for listening in and for calling in and for very good dialogue. Once again, I apologize for the very - the lots of moving parts we've had this year. We'll try to make it not less-good, but maybe easier to understand as we move into 2015. So thank you for listening, bye.